Operator: Good day, and welcome to the Mondelez International Fourth Quarter 2024 and Full Year Earnings Conference Call. Today's call is scheduled to last about one hour, including remarks by Mondelez management and the question-and-answer session. [Operator Instructions] I'd now like to turn the call over to Mr. Shep Dunlap, Senior Vice President, Investor Relations for Mondelez. Please go ahead, sir.
Shep Dunlap: Good afternoon, and thank you for joining us. With me today are Dirk Van de Put, our Chairman and CEO; and Luca Zaramella, our CFO. Earlier today, we sent out our press release and presentation slides, which are available on our website. During this call, we'll make forward-looking statements about the company's performance. These statements are based on how we see things today. Actual results may differ materially due to risks and uncertainties. Please refer to the cautionary statements and risk factors contained in our 10-K, 10-Q and 8-K filings for more details on our forward-looking statements. As we discuss our results today, unless noted as reported, we'll be referencing our non-GAAP financial measures, which adjust for certain items included in our GAAP results. In addition, we provide year-over-year growth on a constant currency basis unless otherwise noted. You can find the comparable GAAP measures and GAAP to non-GAAP reconciliations within our earnings release and at the back of the slide presentation. Today, Dirk will provide a business strategy update, followed by a review of our financial results and outlook by Luca. We will close with Q&A. I'll now turn the call over to Dirk.
Dirk Van De Put: Thank you, Shep, and thanks to everyone for joining the call today. I will start on Slide 4. I'm pleased to share that 2024 was another strong year for Mondelez. We delivered balanced top line growth, strong earnings and robust free cash flow generation, while returning significant capital back to shareholders. Our top line grew mid-single digit, with balanced performance across both developed and emerging markets, and we delivered positive volume mix in the second half of the year with improved share performance. Despite continuing input cost inflation, we achieved gross profit dollar growth in the mid-single digits, driven by ongoing cost discipline and sound pricing. This allowed us to continue to increase our investments in brands, distribution and organizational capabilities. We also continued our track record of strong free cash flow, generating $3.5 billion, which includes our settlement with the EU Commission. We also continued to prioritize capital return, delivering $4.7 billion to shareholders through buybacks and dividends. And as we transition into 2025, we remain focused on executing with excellence against our long term growth strategy. We are confident that our chocolate playbook will enable us to successfully navigate unprecedented cocoa cost inflation, and we'll share additional color later in today's call. Perhaps most importantly, I remain convinced that team Mondelez represents the very best people in the consumer packaged goods business, and I'm proud of our team for staying focused and agile in a challenging operating environment. With the right strategy, the right brands, the right geographic footprint and the right people, I'm confident that we continue to be solidly positioned for attractive long term growth. Turning to Slide 5. You can see that 2024 was a strong year on both the top and bottom lines despite the impact of cocoa cost phasing in the fourth quarter. Luca will provide some additional perspectives on our cocoa cost strategy in a few minutes. We delivered organic net revenue growth of 4.3% and adjusted gross profit dollar growth of 5.1% for the year. Our volume mix results demonstrate that consumers continue to prioritize our brands and our categories. It is important to underscore that we continued reinvesting in our brands to drive faster growth. Our high-single digit investment increase in A&C continues to strengthen consumer and customer loyalty to our brands. Adjusted EPS grew 13% on top of strong growth in the past several years, and we delivered free cash flow of $3.5 billion. We remain confident that our commitment to executing with excellence while reinvesting in our strong brands, capabilities and talent will enable us to continue delivering attractive long term value for our stakeholders. On Slide 6, you can see that our continued confidence is grounded in evidence of consumers' enduring preference for snacking. All over the world, snacks remain an important part of people's lives, at home, at work or school, and on the go. We're proud that consumers continue to prioritize our strong brands even in challenging times. In North America, consumer confidence has improved slightly following the U.S. election, despite continuing concern about the economic outlook. While biscuit category volume remained relatively flat over the last three months, private label continues to decline, demonstrating that consumers remain loyal to their favorite brands and that our price pack architecture initiatives are showing promising signs. As a result, Oreo, Chips Ahoy! and Ritz, all are regaining share. Meanwhile, in Europe, consumer confidence and also price elasticities remained stable despite ongoing uncertainty in the economic and political environment. We continue to see solid category value growth in both biscuits and chocolate, and our brands are steadily gaining share following disruption during the first half of the year. Elasticities also remained stable in emerging markets, with solid consumer confidence in India, Brazil and Mexico amidst continued softness in China. Overall, we're seeing solid category growth in both volume and value across our combined emerging markets, and Mondelez share is improving in both biscuits and chocolate. Turning to Slide 7. We are continuing to make progress against our strategic growth agenda, reinvesting in our brands, expanding distribution, strengthening our capabilities and continuing to transform our portfolio. Here are just a few highlights of our strategy in action. Our iconic global brands, including Oreo and Cadbury Dairy Milk, executed award winning activations that resonated strongly with consumers, driving incremental lift. For example, Oreo's Space Dunk campaign and our innovative global collaboration with Coca Cola helped strengthen partnerships with key retailers around the world. Similarly, Cadbury's year-long celebration of its 200th anniversary delivered ground breaking creative and strong return on investment. Looking ahead, we are excited about the potential of our just announced Oreo partnership with Post Malone, which will hit U.S. store shelves later this week. Capturing the current cultural vibe, this limited edition features our first ever Twisted Cream. Along with these creative brand reinvestments, we continue to expand distribution around the world, which includes a special focus on accelerating digital channels. Our e-commerce business grew double-digits in 2024, and we continue investing in new capabilities to accelerate our leadership in digital snacking. In fact, our next tier markets grew approximately 35% in 2024, as a result of our continued investments. We are also making significant progress on growing our revenue growth management capabilities. We launched new fresh stacks (ph) during Q4 across our largest U.S. brands, including Oreo, Ritz and Chips Ahoy. These new offerings provide products our consumers love in smaller hold fresh packs at an attractive everyday price. And in chocolate, we are launching an array of pack sizes at several new price points around the world. Additionally, we continue to advance our portfolio reshaping strategy. In 2024, we purchased a majority stake in Evirth, the leader in China's fast growing frozen-to-chilled baked snacks category. We have worked with Evirth for several years to develop, manufacture, market and sell cakes and pastries, featuring some of our iconic brands, including Oreo and Philadelphia. Our expanded partnership enables us to further accelerate growth through continuous innovation, leveraging the combination of our high value brands with Evirth's advanced R&D and technical expertise. We also liquidated our investment in JDE Peet's, providing another important source of funding for reinvestment that can be used to buy our stock as well as further advancing our brands, talent and capabilities. On Slide 8, along with our financial performance and strategic growth priorities, I'm pleased to share that we made significant progress towards our sustainability objectives in 2024. First, we continued to advance our leadership in more sustainably sourcing critical ingredients. About 90% of the cocoa volume used in our chocolate brands now is sourced through Cocoa Life, our signature cocoa sourcing program, which works to lift up the people and restore landscapes where cocoa is grown. We also made continued progress in helping to combat climate change. We reduced carbon emissions across our manufacturing operations by about 38% versus our baseline in 2018. Additionally, we continued advancing our Light and Right packaging strategy. Approximately 96% of our packaging is recyclable. We also continue investing in ways to empower consumers to make more mindful snacking choices that fit into their healthy active lifestyles. Approximately 80% of our snacks revenue comes from mindful portion snacks, that is snacks that are packaged in individually wrapped mindful portion serving sizes or with clear mindful portion recommendations on the pack. These are just a few preliminary highlights of our continuing progress towards building a more sustainable snacking company. We continue to believe that helping to drive positive change at scale is an integral part of value creation, with positive returns for our stakeholders. We encourage you to watch our Annual Snacking Made Right report, which will be published in April to view our full year sustainability data. Turning to Slide 9. I'd like to reinforce our conviction that Mondelez remains well positioned to navigate through a very dynamic operating environment. Like many other companies, we are closely tracking and planning around several near term themes, including variations in consumer confidence, foreign exchange volatility, potential changes in trade policy and pricing negotiations, all against the backdrop of record cocoa prices. By focusing on our strengths and controlling our controllables, we are confident that we have the right strategy, the right execution and the right people to effectively navigate these headwinds. Our teams have undertaken extensive planning since last spring for the challenges created by record cocoa input costs. We have a clear and sound strategy to navigate these conditions, which Luca will describe in more detail in a few minutes. At the same time, our categories remain resilient and consumers continue to prioritize our iconic snacking brands. We remain committed to reinvesting in our brands and capabilities to continue accelerating this momentum. We also continue to focus on expanding distribution opportunities in both developed and emerging markets. And our disciplined approach to capital allocation gives us confidence that we will continue to generate strong free cash flow. In conclusion, I'm pleased to reiterate that 2024 was another strong year and that we are well positioned to continue driving attractive growth. While the road ahead will not be without challenges, our team is at its best when we are united and clear about what we need to do. By continuing to double down our attractive core categories of chocolate, biscuits and baked snacks, investing in our widely loved brands, focusing on operational execution and cost discipline, and empowering our great people, I am confident that we can deliver strong performance for years to come. With that, I'll turn it over to Luca to share additional insights on our financials.
Luca Zaramella: Thank you, Dirk, and good afternoon. In 2024, we delivered strong results from top to bottom. We posted balanced growth across developed and emerging markets. We grew gross profit dollars by mid-single digits, adjusted EPS growth was double-digit and free cash flow was once again quite good. This was a continuation of our virtuous cycle, which enables us to maintain strong growth, important reinvestments and strong return of capital back to shareholders. Revenue growth was 4.3% in the year, with volume mix down 1 point. For the quarter, growth was more than 5%, with a slight increase in volume mix. Emerging markets grew by 6.2% for the year and 6.7% for the quarter, with trends coming from a substantial number of key countries, including China, Brazil, South Africa, the Western Andean, and Central and Eastern Europe. Developed markets grew 3.2% for the year and 4.3% for the quarter, including strong growth from Europe and solid results from the U.S. Moving to portfolio performance on Slide 12. Our chocolate and biscuit businesses both delivered good growth for the year. Also, gum and candy continued to perform well. Biscuits grew 1.7% for the year and 2.1% for the quarter. Several brands delivered attractive growth for 2024, including Oreo, Ritz, belVita, Tate's, 7DAYS, Club Social and Perfect Snacks. Chocolate grew 7.4% for the year and 8.9% for the quarter, with significant growth across both developed and emerging markets. Volume mix declined 2% for the year and 2.3% in the quarter. Our two flagship global brands, Cadbury Dairy Milk and Milka, delivered outstanding growth, while we also delivered strong growth with our local jewels portfolio, including Lacta, Cote D'Or, Freia and Marabou. Gum and candy grew more than 7% for the year and nearly 9% for the quarter. Key markets, including China, Brazil and Western Andean, all performed well. Let's review market share performance on Slide 13. We held or gained share in 50% of our revenue base, with strong results in both chocolate and biscuits. Although there is more work to do, we made strong progress in the back half of the year, including the last three months as approximately 17% of revenue had or gained share due to improvements in North America biscuits. Strong brand reinvestment, revenue growth management initiatives and solid execution helped drive recent improvements. Moving to regional performance on Slide 14. Europe grew 5.7% for the year and 7.4% for the quarter. Strong execution, including pricing, led to attractive growth despite significant customer disruption in half one. OI dollars in '24 were up 8.8% for the year and down more than 40% in Q4. The sharp decline in European Q4 profit was driven by the dramatic ramp in our cocoa cost pipeline without the benefit of additional pricing and cost measures that are expected in 2025. North America grew 1.5% for the full year, while Q4 grew 0.4%. Full year growth was driven by solid performance across a number of brands and growth channels. In Q4, volume mix grew 1.3 percentage points, driven by growth in our new fresh stacks price packs as well as trends from Tate's and Perfect Snacks. Overall, we saw a good start with the rollout of the new price packs in Oreo, Chips Ahoy! and Ritz. We entered '25 encouraged by our new price packs, expectations for category growth and initiatives around growth channel, trade programs and new distribution growth. North America OI increased 0.4% for the year. For the quarter, OI decreased 11.5%. This decline was a result of higher trade spend, some cost pressure, particularly as we ramp up production of the newly launched price point SKU and a settlement of a legal case. AMEA grew 6.2% for the year and 8.6% for the quarter, with solid volume mix growth to finish the year. China grew high-single digits for the year and quarter. Australia posted strong growth for both the year and quarter, as well as Southeast Asia returned to growth in Q4. India delivered low-single digit growth for the year and quarter, as strength in chocolate was offset by soft biscuit results. We are encouraged by work being done in India and in the biscuits business specifically around smaller packs and lower price points as we head into 2025. AMEA increased OI dollars by 13.4% for the year, while OI declined 28% in Q4, resulting from unfavorable cocoa phasing. Latin America grew 4.6% for the year and 4.9% for the quarter behind solid performance from Brazil and the Western Andean group of countries. Latin America delivered another strong year of profitability. OI grew 10.7% for the year, while declining 5.7% for Q4. Profitability was lower in the quarter, driven by cocoa. Turning to Page 15. For the year, we delivered strong high-single digit OI dollar growth. This growth enables significant level of reinvestments in our brands and capabilities for '25 and beyond. In Q4, we saw a notable decline in OI dollars growth. This decline was primarily a result of unfavorable cocoa pipeline that we noted in our Q3 call. These cost headwinds came without additional offsets in pricing or overheads reduction, which we expect to initiate in 2025. Next to EPS on Slide 16. Full year EPS grew 13% in constant currency. The significant majority of this growth was driven by operating gains. And despite currency headwinds, we grew adjusted EPS at reported ForEx by more than 9%. Q4 EPS growth declined due to previously mentioned spike in the cocoa cost pipeline. Turning to Slide 17. We delivered $3.5 billion of free cash flow for the full year, including the settlement of the EU Commission matter of nearly $400 million. We returned $4.7 billion in cash to shareholders through dividends and share repurchase, with nearly half of our share repurchase coming in Q4. Consistent with our capital allocation priorities, we announced a new $9 billion share repurchase authorization in December, which runs from '25 through '27. We continue to be opportunistic buyers of our stock at depressed levels, given our view of the intrinsic value. Before we get into the details of our outlook, let me provide additional thoughts on cocoa. The market continues to show signs of volatility and has reverted to elevated levels during much of the past three months. Despite a good main crop, several factors have contributed to this situation, including concerns about the mid-crop in the Ivory Coast, ongoing low liquidity and low industry coverage. This backdrop has created more pressure on our P&L for '25 as it relates to the portion that was still unhedged or protected through flexible structures at the time we spoke to you back in the Q3 call. Although, we cannot predict specific timing, we continue to believe that the inverted nature of the market, combined with lower demand levels due to higher pricing and elasticity, will eventually bring cocoa to a more sustainable price level. As Dirk mentioned, we have been planning our '25 business for some time now in advance on -- of elevated levels of cocoa, and we have developed a clear and comprehensive chocolate strategy. This includes leveraging a robust RGM playbook, strong marketing and sales execution, remaining agile with the right incentives and targeted cost savings. A few words on 2025 and key planning assumptions on Slide 20. For the current year, we expect to deliver on our long term algorithm for revenue. We currently expect top line to be approximately 5%. We have planned for higher levels of elasticity in chocolate, but we need to remain agile and assess the situation as new prices get implemented. We expect an adjusted EPS decline this year, given the unprecedented levels of cocoa cost in our chocolate canal. This decline is expected to be approximately 10% versus the base of $3.36 in 2024, that excludes JDE Peet's from the equity income. This outlook does not include the impact of the potentially significant new executive orders imposing 25% tariffs on U.S. imports from Mexico and Canada. This would create an additional headwind to the business, but given the fluid and rapidly changing nature of timing, it is difficult to provide a reliable estimate of impact for the full year at this time. Overall, we believe this outlook is a prudent planning stance based on our visibility to cocoa costs in 2025, which is substantially protected and hedged at this point. This assumption is based on the principles I just discussed. Based on our view of earnings, we are planning for free cash flow of $3 billion plus. In terms of other key assumptions, for inflation, we expect a double-digit increase for 2025 versus 2024, driven almost entirely by cocoa as well as some labor costs. In terms of interest expense, we expect approximately $350 million. We expect an adjusted effective tax rate in the mid-20s. Note that our cash tax rate is expected to run approximately 2 points lower than this rate. And for share repurchase, we are expecting at least $3 billion, with the flexibility to go higher depending on stock price. We are expecting approximately $0.12 of EPS headwind related to ForEx for the year. Before opening up for Q&A, a few comments on 2026. In 2025, we are trying to strike the right balance by running a reasonable P&L, while taking a responsible and thoughtful approach to maintaining the health of the chocolate category. In that context, we continue to scrutinize every dollar we spend, including A&C, where we'll continue to prioritize brand investments and properly support brands as long as we believe the return is sufficient. We do expect EPS growth in 2026 based on cocoa levels staying elevated, but stable. Cocoa futures might come down, but we're not there yet. So, we will continue to plan various scenarios, with the base case for a continuation of elevated levels. If cocoa stays high, we would expect to gradually price more. If cocoa starts to come down, then we would expect earnings delivery to be higher. Regardless, we expect EPS growth in 2026. With that, let's open the line for questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Andrew Lazar with Barclays.
Andrew Lazar: Great. Thanks so much. Appreciate it. Dirk, maybe to start, given where cocoa has gone in the past few months, maybe you can talk about how that, if at all, sort of, changes your approach and chocolate strategy, and with that, the state of the European business, given that's your largest chocolate market, and it seems like even more price will likely be necessary even into '26?
Dirk Van De Put: Yes. Well, hello, Andrew, and thanks for the question. Well, as it relates to cocoa and chocolate, the first thing I would say is that, in our eyes, chocolate remains a great snacking category, which so far has been remarkably durable. It's been quite robust in '24 already with some significant pricing, but still healthy volumes. That's driven by the fact that there is iconic brands, iconic brands that we have and others have, that are taste of the nation, high brand loyalty, there's very little private label. Consumers quote, chocolate as one of their indulgences that they cannot live without. So, we continue to feel that this is a great snacking category. Our view is that despite the short-term volatility that our approach needs to be to protect the category health, to protect our share in the category and to protect our brand investments. We are seeing some structural change to the cocoa pricing in the cocoa market, but we don't think that will continue to the current magnitude. For sure, cocoa prices will remain high than they've been in the past, but they will come down eventually from the current high to our opinion. The other thing I would say is that, from our view, we need to protect key price points and thresholds, so that consumers can continue to enjoy their chocolate. So, that means, in emerging markets, we continue to hold the price points of our low unit pricing. And in the developed markets, we try to make sure that we have the right entry level. We accompany that in '25 with very strong revenue growth management plans and PPA plans to make sure that the consumers can have consumption at all different price points. We are going to continue to invest in the category. We are optimizing that investment, but we will continue to support our brands strongly. Of course, we will do some additional cost measures to protect the bottom line. So, as I said, we're trying to optimize our A&C investment. We're looking at zero overhead or negative overhead growth, and we have the highest supply chain productivity program in the history of the company for 2025. And we will continue to hedge our chocolate. We don't see a reason to change our strategy there. So, for '25, we have a very strong agenda. We have an enormous revenue growth management program. We have changed the price pack architecture on more than $5 billion of our net revenue. We have to do significant line pricing, which we are implementing as we speak. If cocoa prices remain elevated where they are today, that might require more pricing in the second half of this year and in '26. But as I said, we think eventually, cocoa prices will start to come down. There already has been some significant pricing around the world in chocolate. And I'm happy to report that the elasticities have held up well. So, we're looking at a 0.4 elasticity. And so far, what we've seen even in the places where we've had 10%, 15% price increase, that holds. We are also, of course, looking at optimizing our promotions. We're doing active portfolio management. Elasticities, we have estimated around 0.4, I was mentioning. We will need to remain agile and adapt to the circumstances. But overall, we do believe that we have the right strategy. We have very strong activations and innovations also planned. We are launching new flavors, new experiences. We have the biggest seasonal agenda in chocolate. We are starting and launching products in our Biscoff partnership. So, that also we think will drive consumer interest. We are monitoring consumers very closely and that gives us reason for optimism. So far, we don't see any major shifts. And if you then look at the P&L of chocolate for '25, our main objective is to protect the category, protect our share. And we think we can do that with a reasonable P&L, and I'm sure that Luca will talk a little bit more about that, which includes significant investments and robust activations. And we are not taking any short cuts for short term gains. So, that's a little bit the way we look at chocolate. If I translate that to Europe, at this stage, consumer confidence in Europe is pretty stable. It's subdued, but it's stable. The purchasing power is soft. There is ongoing economic and political uncertainty, of course. But overall, we feel that the consumer is in a good place, probably in a better place as the consumer is in the U.S. The category consumption in chocolate is pretty good. We have very solid value growth. We have good volume growth. We're seeing a little bit of deceleration in the last three months, but that's because pricing is starting to come. And as I said, the elasticities are as expected. For instance, in the U.K., we're looking at a 0.37 elasticity so far and we've already increased prices by about 15%. So, I think after we had client disruption in the beginning of the year, we saw a very good business continuation in Europe. We had broad based growth across the region. Chocolate was growing 8% in value over the last three months for us. We had the highest Christmas net revenue in chocolate, a double-digit growth. We're seeing very nice growth across channels from discounters to world travel retail, and we had a great share performance. So, everything so far in Europe is good. And as you can see from the numbers, so the quarter and the year looks pretty good, except, of course, for the cocoa effect, but that over time will start to go down as our pricing takes hold. So, for '25, we have this big RGM agenda. We have the activations of promotions. We do assume in our estimates at the moment client disruption. The chocolate P&L will gradually improve as pricing takes hold, and we still have some significant pricing and PPA to do, but we do believe that we have the right estimates in our forecast. So, pretty optimistic about the chocolate category and we do feel that our European business is well prepared to deal with this.
Andrew Lazar: That's awesome. Thanks so much for that very fulsome answer. And then, Luca, just quickly, can you walk us through some of the puts and takes for the '25 outlook in terms of, like, phasing around EPS and margins? And although early, just how do we think about the key considerations for '26 that you kind of got into briefly in the prepared remarks? Thanks so much.
Luca Zaramella: Yeah. Thank you, Andrew. As far as the 2025 guidance goes, I think we have to start by saying that we feel good about how we ended the year in terms of revenue and growth momentum. As we just said, we feel quite good with the benign elasticities in chocolate. Total growth of the categories where we compete was good. And importantly, I think we were happy to see share momentum picking up. So, this is good news given that 70% of the business is non-chocolate, and we expect a normal year in terms of biscuit, bakeries and other categories. Chocolate profitability is clearly the main concern of the plan. And as I said, in the prepared remarks, the chocolate spikes in the last few months have given us a little bit of a headwind compared to what we told you and we anticipated back in October. So, we have beefed up the plan in terms of pricing actions and RGM. And as we just said, we need to continue to strike a good balance, especially in emerging markets between price and volume. To offset some of the profit pressure, we have unprecedented cost measures, I would say, particularly in the productivity area of our manufacturing network, but we also have reduced overheads and the non-working media spending. So, our goal is to deliver a plan that is executing well in all non-chocolate category. And for chocolate, I think, the key will be to minimize the volume implications, together with ensuring that we exit 2025 with a reasonable profit per kilo as a key measure for us to monitor. The profit gating throughout 2025 will be more pressured in Q1, given the fact that we are in the midst of negotiations with customer and we haven't implemented the price yet, but we feel quite good at this point given the progress we have made. And I think you will start seeing profit improvement in terms of sequential improvement versus Q1 and Q4 as we progress throughout the year. And again, the clear goal for us is to end 2025 in a place where we are well positioned to deliver EPS growth in 2026. Clearly, it is quite premature to talk about 2026, but we wanted you to hear very clearly that our goal is to grow EPS for 2026. At this point in time, we see a bifurcation of scenarios into 2026. I believe the most likely scenario is that cocoa prices will come down, in which case, we will have higher earnings upside potential. But if cocoa stays elevated, we will have to take a little bit more pricing. And our approach over the last few years and in '24 as well is to take multiple pricing actions and to allow consumers to get accustomed to higher levels of pricing. And so, we believe that in either case, whether cocoa comes down or stays high, we have a path to delivering EPS growth into 2026.
Andrew Lazar: Thanks so much.
Luca Zaramella: Thank you, Andrew.
Operator: We'll move next to Ken Goldman with J.P. Morgan.
Kenneth Goldman: Hi. Thank you, Dirk. In North America, both price and volume mix came in below the Street in the fourth quarter. I'm curious, can you maybe expand on how you view the general health of the biscuit category here in the U.S., and also your expectations roughly for both volume and price in 2025 in North America in light of how you think about that category and your share within?
Dirk Van De Put: Yes. Hi, Ken. Well, the consumer in U.S. is still quite concerned, the economy, the political situation and, of course, inflation. And as we've talked in the past, the value definition has clearly changed in most categories, I would say, but also in the biscuit category. Basically, higher income consumers are trying to buy bigger packs, while lower income consumers are focused on lower unit prices. And also, the channel shopping behavior has significantly changed. I would say at this stage, the U.S. biscuit category is softer. The elasticities are increasing to a certain degree. The category growth in the last three months was 0.6%. We did improve our shares during that period, but overall, I would call that soft. The good news is that the penetration and the volume per trip is holding up. There's a number of reasons for that. First of all, prices have stopped rising. In fact, prices have probably come down, and that's part of what you see in Q4, because we launched a number of packs at lower price points, and the promo intensity is also increasing. I would say, within the category, cookies are performing in line with broiler (ph) snacking, while crackers are softer. Q4, while maybe below the market estimates, was, to our opinion, solid quarter. We had a net revenue growth of 0.4%, volume mix was 1.3%. OI was lower, but the reasons for that was first of all, we were lapping a lower trade spend last year and we were also lapping some SG&A one-timers, but the good news for us was that we grew biscuit share with more than 30 basis points in Q4. We did a number of innovations, as I mentioned, fresh tax and launched, for instance, the Chips Ahoy! Chewy Cookie and we had very good channel results also. The one that was a bit of a decliner was give and go, that had to see with the fact that our kids business declined to pre-COVID levels. If I look at '25 for the category, I would say -- sorry, the pricing possibilities are limited, will have a little bit. We will continue to do PPA for lower price points. We will have some very strong activations. You'll see the first one with Post Malone on Oreo as is currently going on. I do think that we will have a good volume growth next year because of those lower price points and the fact that we have under developed channels, plus we can drive more penetration of some of our brands. So, I think we will combine a good volume growth with lower pricing. So, maybe our percentage gross profit will come down, but we do think that the dollars that we will generate will be quite strong. So, I'm expecting a solid P&L in North America in '25.
Kenneth Goldman: That's helpful. And then, quickly, Luca, just on cocoa, I think you and Dirk have been using the word eventually more than usual today. It may be fair, maybe not, but it seems like you're incrementally less confident today that cocoa is bound to fall in the near-term. So, I'm curious, has anything structurally changed in your view of supply and demand or is this just a situation where you have to sort of at least partially just kind of accept the current reality, whether it's justified or not?
Luca Zaramella: Look, I think it is tougher for us, quite frankly, to make sense of the current elevated prices. Yes, it is through the mid-crop, which, I remind you, account for 30% of the total year production of cocoa is subdued and there was a little bit of a drier weather than was anticipated. The reality is, as of today, the port arrivals are up almost 25%. And I believe even in the worst case scenario of the mid-crop being sub-par, we foresee most likely a supply increase compared to last year, that is around about 10%. The latest grinding numbers have been quite good. And so, demand doesn't factor yet, major changes, but we start seeing signs, particularly in parts of the world like North America, where cocoa consumption is coming down. And so, that should provide, I believe, on a longer term perspective, a little bit of a relief in terms of also demand. I think the market is very thin. If you look at the industry, it is covered very shortly. If you look at volume that gets traded daily, it is very, very small. And obviously, in this environment, we see particularly speculators to drive cost prices that are elevated. So, look, I think I was really hoping that by now, with the main crop behind us and the good numbers, cocoa will be more benign, but it isn't. And so, we have assumed a cocoa price that stays elevated for '25. And in our plans, it is elevated for 2026 as well in the sense that we prefer planning that way, rather than assuming and having an assumption that drives EPS growth simply because of cocoa coming down. We are committing to you that EPS in 2026 will grow either way and we want to be ready for the worst. But quite frankly, given that I believe there will be a surplus between supply and demand in 2025, I believe eventually cocoa will have to come down.
Kenneth Goldman: Thank you very much.
Luca Zaramella: Thank you, Ken.
Operator: We'll move next to David Palmer with Evercore ISI.
David Palmer: Yeah. Thanks. Just a theoretical follow-up on that. You mentioned that you believe that cocoa prices would return to a more sustainable price level. And I'm wondering whatever that level is, it might not be the $3,000 where we were not that long ago and it might not be the $10,000 we're at now. But let's say, $5,000, $6,000, whatever it is, and we get to that place in the next one or two years, is it your belief that you will have the ability and that you will ultimately get to a point where you're pricing away the dollar input inflation and that essentially over a multi-year period, your algorithm will normalize? Is that still your belief?
Luca Zaramella: Yes. I think what you have to assume is that just picking the numbers that you have quoted, $3,000 and I don't know if you are talking about dollars or GBP, but call it GBP. We will be priced at the level that is higher than that. And so, I think the question becomes that, that level of cocoa, how quickly are we going to adjust, if any adjustment is made, prices down. And I think as much as the restriction going up and as much as we are never priced throughout, I would say, the next couple of quarters at the right level of cocoa, it is fine to assume that as cocoa starts coming down, our price too will be better than the $3,000 you quoted. And so, in that context, our profitability will be quite good and would allow us to have a P&L that makes more than sense. And so, I think if cocoa comes down, earnings power is there. If cocoa stays high, which again we don't control, we will have to price a little bit more in 2026. And as I said, in a previous question, this approach of multiple pricing waves is the best in terms of getting consumers accustomed to new price levels and minimizing elasticity and volume losses.
David Palmer: And then -- thank you for that. And then, just as you're sort of reviewing cocoa prices and the -- I would imagine that the visibility on the pass crop is behind us. I'm wondering what are you going to be watching and when will you make up your mind about the need for additional pricing? Like, what sort of time frames are you kind of under -- are we under review here? Is this something that you're going to make a decision to pivot by the time we get to the second half of this year? How will that work?
Luca Zaramella: Yeah. So, I think for '25, we are pretty much done in terms of coverage. And now what we have assumed at this point is that we will have to take multiple price waves and there are situations where we have two other situations where we're going to take three price increases. As Dirk said, we have an unprecedented amount of RGM, which has come to fruition throughout the year. And so, we are planning, for the current levels of cocoa, a series of actions that we will take throughout 2025. Now, if we realize that the main crop numbers with which we're going to start getting a sense towards September, October, if we realize that demand of cocoa in general is coming down and the number of -- will be coming out throughout the year, but the first half will give us an indication of how much global demand is subdued and in -- and we will try to understand the price implication on cocoa. We will decide as we go what is best to do for the second part of the year in light of a plausible cocoa level for 2026. And so, quite frankly, we have to remain quite open to understanding what cocoa is going to do in 2026. And as a consequence, we will act accordingly, particularly in the second part of the year. The first pricing waves according to the level of cocoa that we have today had been taken between October and December in few cases. We are under European negotiations literally as we speak. There might be other pricing waves that we'll take in the second part of the year depending on our view on 2026 cocoa levels.
David Palmer: Thank you.
Operator: We'll move next to Tom Palmer with Citi.
Thomas Palmer: Hi. Thanks for the question. I wanted to ask a little more on the expected cadence of both earnings and COGS inflation. And specifically on COGS inflation, it looks like 4Q24, we saw a bigger step-up. Will we then, I guess, thinking through 1Q to 3Q see a more normal rate and then inflation starts to ease based on current futures? And then, just given kind of the outsized earnings pressure in 1Q, might you then the main offset be 4Q? I just want to make sure we're kind of thinking through those moving pieces between cost and pricing over the course of the year.
Luca Zaramella: Yeah. So, the pressure that you saw on profitability in Q4, it is the fact that cocoa was fairly high into our P&L in Q4. Your assumption should be that, that level of cocoa keeps until for the full 2025 at this level -- at this point in time, that's our assumption. So, I think you should assume that, that level of cocoa is equally spread throughout the remaining quarters of 2025. Now, the differential in terms of gating for profitability of 2025 is that we will have more pricing coming into the P&L. So, the elevated inflation is going to keep on hitting Q1, Q2, Q3. Obviously, Q4 will be different, because there is already elevated level of cocoa in the baseline. The difference is you're going to see sequential price improvement throughout the year, particularly as of Q2, Q3 and Q4, and that will provide benefits to the profitability of the company.
Thomas Palmer: All right. Thanks for that. And just on the elasticity, you mentioned so far, that elasticity was 0.4. Just any color on what's embedded in guidance at this point? Thanks.
Luca Zaramella: That is the guidance number. We have seen elasticities that are a little bit lower than that. We monitor elasticities very closely. I can tell you that in Q3 and Q4, the elasticities for chocolate that we saw was a little bit lower. The current planning assumption for 2025 is that elasticity on average is 0.4, 0.5 times. And that number is higher than what we have seen in 2024.
Thomas Palmer: Okay. Thank you.
Operator: We'll move next to Max Gumport with BNP Paribas.
Max Gumport: Hey. Thanks for the question. You mentioned a number of times in this call that you have one of the highest supply chain productivity programs in your history coming up in '25. I was hoping you could just put a bit of a finer point on just how big that program might be? Thanks very much.
Dirk Van De Put: Yeah. The typical targets that we have is about a 4% gross productivity on our supply chain. And then, depending on inflation rates and some other investments we might do, we try to translate that into a net productivity. In the past three, four years, it has been very difficult to reach that 4%, but we are planning to reach that in '25. So, that gives you an idea.
Max Gumport: Great. Thanks very much. And then, turning back to North America and what you're seeing within your biscuit and cracker categories, and I understand your share performance is improving. Consumers still feeling some financial pressure in the U.S. I didn't hear you speak much to whether or not you think there is a shift away from snacking that's going on due to a consumer that's more focused on health and wellness or a consumer that's more and more likely to be on a GLP-1 drug. So, just curious on your view on the broader snacking category in the U.S. and whether or not there is some headwind to you to consider because of the shift to health and wellness? Thanks very much.
Dirk Van De Put: Yes. Thank you. I would say, to our view at the moment, no, we do not necessarily see snacking diminishing because there is a shift to health and wellness, or there is a decreased consumption in snacking because of GLP-1s. We've monitored that very carefully, and so far, there is really no effect that we can tell. Within snacking, there might be a shift to more healthier products, but that has been going on for years. And I wouldn't say that in recent years, there has been a shift there. In fact, since COVID, the indulgent part in snacking is growing just as fast as the healthy part. So, that was different before COVID. So, if anything, the indulgent part remains as it was before.
Max Gumport: Thanks very much.
Operator: We'll now move to our final question from Peter Galbo with Bank of America.
Peter Galbo: Hi. Good afternoon, Dirk and Luca. Thanks for the question. I'll keep it relatively short or to one question, but maybe with two parts. So, Luca, if I could just kind of hone in on the earnings per share, the actual guidance, roughly $2.90 for 2025. And with the clean numbers without JDE, you were $3.08 in '23 and $3.36 in '24. I guess the question, A, is 2023 probably the right high watermark to use from an earnings per share perspective just given this past year, you had some cost favorability at least through the first nine months relative to price relative to cocoa. And so, as we're thinking about growing off that $2.90 base over whatever timeframe, right, '23 is maybe a better high watermark. And then, the second part of that is just, like, what is the path back to that? Do you -- can you get to that high watermark with cocoa where it is currently? Does that need to come down, obviously to hit the number? I'm not looking to put a timeframe around it, but just if you can kind of unpack what the path back to that is would be helpful. Thanks very much.
Luca Zaramella: So, just to be clear, it is not that cocoa in '24 is lower than 2023. It is that cocoa was higher and we priced somewhat to replacement cost in the first part of the year, and we have been taking advantage of the favorable pipeline compared to market, not compared to 2023. So, arguably the base EPS might be what you saw in the first three quarters of the year, provided that cocoa comes down to the levels of the first three years and that we hold on to the pricing that we have implemented. So, if you're trying to understand by when we can be back on track with the reasonable level of EPS, I think the question really becomes at what level of pricing are we going to be priced, particularly in 2026, and what level of cocoa are we going to have into the base P&L of 2026. What I wanted to say, particularly in the previous answers and in the prepared remarks is that, either way, we are committing to an EPS growth in 2026. If cocoa comes down in 2027 or in 2026, the earning upside potential that we have will put us back to levels that most likely you saw in the first few quarters of 2024. Again, I don't know if cocoa will come down at all, and that's where our commitment to you is that EPS will grow in 2026 and that's where we are telling you that regardless of the level of cocoa, there are two options here. Either we price more and we will get there, or if cocoa retrenches and comes down, the earnings power is within our P&L.
Peter Galbo: Great. Thanks very much.
Operator: I will now turn the conference back to Mr. Dirk Van De Put for any additional or closing remarks.
Dirk Van De Put: Yes. Well, thank you very much. Thank you for attending this call. Looking forward to update you at the end of the first quarter when I assume that we will have a much clearer look already at how cocoa is evolving and how the pricing is landing in the markets. And until then, obviously, we are always available to answer any of your questions. Thank you.
Luca Zaramella: Thank you, everyone.
Operator: Thank you. Ladies and gentlemen, this does conclude today's program. Thank you for your participation. You may disconnect at any time.